Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:05 Welcome to the Stillfront Audiocast with Teleconference Q3 twenty twenty one. For the first part of this call, all participants will be in listen-only mode, and afterwards, there will be a question-and-answer session. 0:19 Today I'm pleased to present CEO, Jörgen Larsson; CFO, Andreas Uddman. Speaker, please go ahead and begin.
Jörgen Larsson: 00:30 Thank you very much, and good morning. We would like to start off today's session with just making a reflection before going into the presentation on how we came in this year. We came in this year with two well-known explicit challenges in the terms of both the IDFA or the changes for marketing conditions, labeled the IDFA issue. And secondly, we entered into difficult comparison numbers from the sensational and -- exceptional, I should say, growth that we enjoyed from mid-March to June last year with a very high intake of new users. So obviously, comparison numbers and the IDFA change were known and dealt with challenges. 1:27 Now I would say, before going into the actual number for -- numbers for Q3 and commenting on the details, this is important with Q3, see the full perspective, because we feel that we are now with the Q3, and what we've seen so far in Q4, we are leading these challenges guardedly behind us. So we are in the new normal and with less comparison picture. 01:54 Anyway, so entering into the presentation on slide two, you have the ordinary Stillfront at a glance overview. So we are now twenty one studios, if you also include Jawaker, which is not included in the Q2 number because it's consolidated from the first of October, but nevertheless was acquired during the quarter. We have constantly developed and evolved our portfolio of games that have the long life cycle and you will see that again that it's developing and that it's performing. 02:32 And we have now sixty two million unique players playing our games worldwide. And you can see how these are distributed. North America continues to be our main market with fifty two percent of our revenues and then Europe thirty percent and Asia twelve percent. And US, Germany, MENA, UK and Canada is our individual largest markets. And we are now more than one thousand two fifty professionals distributed according to the red dots in the map on the lower right side of that slide. 03:07 Going into next slide, a few comments on some highlights of our portfolio. We have enjoyed a very strong year-on-year organic growth performance from some titles, which are encouraging. And War and Peace, that was launched in Q4 twenty seventeen as we had a tremendous growth -- coming back to tremendous growth after being first growing being one of our engines for growth the first year, the first eighteen months and then being a bit slower and weaker, but now have come back to be a strong growth. And this is important, not only with the numbers per se, it's important to see how product that has been around for, in this case, for years can come back to high growth numbers. 04:01 We're also pleased to see that Conflict of Nations has been growing tremendously for us. So that is one of the absolute most successful launches ever for us that was launched, the mobile version in September last year. And not the least, which we will come back to is the success on BitLife from Candywriter. We also can see that the Moonfrog's product Ludo Club was the number one brand product on Snapchat worldwide in September, so Moonfrog has had a great start being part of the group. 04:40 We also -- which we will come back to you, but it's important to emphasize the number of products that we have in the pipeline and soft launch for the short-term going into soft launch. So in total, we have more than fifteen products that just has entered into soft launch or will enter during Q4, and of course, that is something that fills us with optimism and opportunities for quarters and years to come. 05:09 We also have opened up a publishing division at Goodgame, so that we can leverage the capabilities we have for publishing also for products from other studios. So the first one is War Alliance, that was launched in a few weeks ago. And also we have DogLife, which is worth mentioning that was launched as a sister product of BitLife by Candywriter in early November. 05:38 So we expect and hope and think and believe in every aspect that we will see a significant UA ramp up. We already have seen that in the latter part of Q3, but we expect that that will continue into Q4 through Q1, fueling the starts of both existing and new games. And as you -- I'm sure you are aware of, we are entering into the seasonally stronger quarters during the winter -- autumn, winter and early spring. 6:17 Turning to slide four, a few words about the numbers. Bookings grew by thirty two percent and net revenue grew by twenty eight percent in the third quarter, driven by acquired studios and some organic good growth for some studios, but all in all, we still have a negative organic growth, eight percent in bookings and eleven percent in net revenues. 06:46 So we come in the upper part of the communicated guided range with one thousand three hundred and eleven million krona in revenues, and we -- what is important to note as well is that, we always have had during this -- since I founded this company eleven years ago, Q3 is a slower quarter because our users typically thirty five years goes on vacation with their families and play less games, and this -- the outcome of one thousand three hundred and eleven million krona related to Q2 is actually in the lower part of what we usually see as a seasonality factor, which is five percent, eight percent or some years even ten percent. So I think that is a very typical pattern that we see. 07:32 What is important to us is that we work successfully with live ops and one metric of live ops is the average revenue per daily active users, and also how we are successful in capitalizing and monetizing on ad revenues. So we are pleased to see that the organic average revenue per daily to active user increased by thirteen percent in Q3, and that was across all product areas. 08:00 And the pro forma growth rate for twenty four months, just to visualize the effect, the comparison effect that we have been struggling with this year is that we are close to ten percent in compounded annual growth rate with one studio as exception, if you look at the last two years. So clearly relating to the exceptional development during the pandemic -- as an effect of pandemic last year. 08:35 We managed to spend twenty four percent in UA in relation to net revenues, which is a very high number for being Q3, which was exactly what we expected. And as you can understand, that was very profitable as well since we have also delivered in the upper range of our revenues in Q3. So we are pleased with that development. And also we can see on the LTM graph in the middle of the slide that we are on all-time high in revenues with five point one billion krona approximately in revenues. 09:18 Turning to our profitability, and the adjusted EBIT development on next slide, slide number five. We can conclude that we closed the quarter with four thirty three million krona in adjusted EBIT, which is equal to thirty three percent EBIT margin. So that is clearly above the communicated guided range and that is due to both that we were able to deploy the UA with higher profitability since -- with lower UA, but still we are higher on top line, that means that we have been -- that's one proof point that the IDFA challenges and the marketing challenges are -- definitely gradually have a less and less impact. 10:13 And we can also -- which is something that is very important for us, we have always strived for having a very predictable and stable development financial wise. And I think if you look at the developments on the left graph, you can see how we're stable, we are in profitability both in percentage wise, but even more in absolute numbers. We also, in this case, we are on LTM, last twelve months, on all-time high in terms of EBIT with one point seven four one billion krona. 10:46 Turning to slide six, looking into our active portfolio. We still have fifty six games in our portfolio, seventy six percent on mobile. We are almost flat on ad bookings in relative terms. So we have nineteen percent in Q2, now we have eighteen percent, so we are keeping this ambition from twenty nineteen that we communicated to be at high-teens. So the bookings in the active portfolio increased by twenty nine percent. We also again saw that the ARPDAU is organically growing, as I just elaborated on, but it is down in absolute numbers, and that looks -- that is a paradox it looks like, but it's basically that we have a different product mix. 11:39 Also worth mentioning is that the bookings from games outside the active portfolio increased quite significantly and amounted to seventy eight million krona in Q3, which is then driven by the products that entered into soft launch during Q3, but not yet are in the -- qualified to be in the active portfolio, but that is, of course, a positive sign for us. 12:05 Looking a bit deeper into Strategy on slide seven, strategic fit of thirteen games, sixty five percent on mobile, so lot of our Strategy players still enjoy the big screen experience from desktops. Forty four percent of our revenues here is generated in Europe. So we're strong there. And again, Conflict of Nations grew by almost two hundred percent year-on-year and is now one of the largest product in the whole product category of Strategy, which is again very pleasing. And I would like to emphasize to grow a Strategy game by two hundred percent year-over-year, it's not very easy because it's much more competitive and much more slower moving in Strategy compared to Casual. 13:00 Again, War and Peace are continuing to develop very strong and The Empire titles is very stable, which is a good contributor, of course. And even though low numbers, it's worth mentioning that we are increasing, not percentage wise, but in absolute numbers, we are continuing to increase ad revenues in Strategy and I think that is promising. We think that we can do several percentage points even in Strategy, where we usually see that more -- a bit more tricky than in Casual to generate ad revenues. 13:39 Turning to Simulation, RPG and Action, the next slide, it's so to thirty two percent of our bookings. We had a fifty three percent year-on-year growth, primarily by acquired titles and also several games being strong organically. To take one of them, Shakes & Fidget, again, a very mature product, but you can find ways of growing them strongly even when they are ten, twelve years mature. So that is something that is very important in our strategy to have games that last for a long time. And we have many proof points this quarter just as previous quarters. 14:22 We have weak performance year-on-year of Kixeye, but important is that it has stabilized quarter-over-quarter. That is satisfactory by hard work from the team. And also we can see that we have fifty seven percent are mobile in this area, so it's a lot on desktop as well. And ad bookings increased from five percent to seven percent in this product category. 14:53 And then looking into next slide, the Casual & Mash-up area, here the comparison numbers are very special because we have been growing significantly with acquisitions. But now we have seventeen games here, ninety six percent generated on mobile, thirty five percent for ad bookings. This is very US or North America heavy with sixty five percent of our revenues. And this area now represents forty three percent of the active portfolio's bookings. And we see very strong performance from Moonfrog and Candywriter. Moonfrog has enjoyed good development for the full presence in the group and Candywriter, I will elaborate on. 15:46 However, Super Free has been significantly performing below the expectations that we have, and I would like to elaborate before turning into Andreas on the financials on the next slide, because this is important that we can describe, and you can see the dynamics clearly in Casual & Mash-up, which we entered into as a category just as a consequence of our statement two years ago on the Capital Markets Day. 16:18 Casual, in particular, but also Mash-up is a much more fast moving category than any of the other ones that we have. So it moves more rapidly upwards when you get momentum and downwards when you don't have the momentum or when the marketing is not meeting our very -- top criteria for profitability. 16:40 And some examples here, because this is important to understand the dynamics. Storm8 grew significantly by more than -- well approximately sixty five percent in the few weeks last year when we have this exceptional marketing opportunities driven by COVID-nineteen, that would not have been possible if it -- we were preference mainly in Simulation and Strategy. So that was very beneficial for us. 17:06 On the other hand, when we cannot market the product with the same profitability on the same level, they bounce back. So I think that's very clear. If we take away Storm8 from Q3 this year, the whole group would have been growing organically. So that's a natural bounce back, and it's moving much faster upwards as well as then it bounces back. But they have stabilized on high levels, so we're very -- continue to be very pleased with Storm8 and the fantastic timing of release around last year, but also on the levels that they are now. And we are further pleased to conclude and see that there is a new match three games in development aimed for being released at around the year-end from Storm8. 17:55 Looking then at store -- sorry, at Super Free, that had a very strong Q1, has showed significantly weaker top line development, and when a game like that declines, it goes faster and it becomes large numbers. So that is the one -- number one disappointment that we have, and it's basically that we haven't been able to market their products on the levels that we forecasted. We have a full attention to that issue and we are remaining confident honestly long-term prospect and this has been the case in Super Free history previously, so it's nothing new. And they have shown at least two or three times that they can bounce back and grow rapidly when they gain momentum with existing and/or new products. 18:45 Finally, with Candywriter, if you recall, the ones that have followed us that we saw that as a downer and a slight disappointment in Q2, Q3, the only studio that did not benefit from the COVID-nineteen effect last year. But all of a sudden through hard work and very professional management from the team at Candywriter, they have had a -- it's one of our -- basically one of our key growth drivers last year up until now, both Q2 and Q3 this year. 19:21 And BitLife, their main product has now in quite short time entered into being one of the large -- the second-largest title basically in our whole group. So that shows again that when you gain momentum, it's rapidly growing and we are, of course, very excited with the prospects of DogLife, which is built on the same engine, and just recently soft launch what that could bring in the next coming years. 19:51 Also as touched upon, Moonfrog, is also -- has also started very strong in the first seven months being part of the group. So what is important to understand here also in both directions is that, this area is moving much faster, which is exactly the reason why we want it onboard because we can grasp opportunities in a different way compared to Strategy. But of course, from time-to-time some of the products will not be with this gain, and then they lower their top line rapidly. So this is nothing strange. It's part of our business model that worthwhile elaborating on. 20:33 So with that, I would like to hand over to Andreas. Please go ahead.
Andreas Uddman: 20:38 Thank you, Jörgen. Good morning, everyone. I will turn to page twelve please, the financial highlights of Q3. We continued to have a solid revenue growth of twenty eight percent and good adjusted EBIT margin of thirty three percent. A record generate -- cash flow generative business of four eighty six million krona in just Q3 from operations. We continue to have a strong financial position with almost one point two billion krona of cash, plus an undrawn credit facility to three point two billion krona. 21:18 Our leverage reported in the quarter was one point times, and however, we did complete the Jawaker acquisition post the quarter, and we expect that -- would that had been included, we would have been around financial target of one point five times. So strong financial performance, diversified financing platform, which has been continuing to build on. And this will create flexibility for future growth. 21:53 And I will turn into the income statement on page thirteen. The net revenues grew by two hundred and eighty four million krona or twenty eight percent to one point three billion krona, and this is driven by acquired growth that's delivered forty percent increase and offset by a negative organic growth of eleven percent. But a slight impact, a negative year-over-year on the FX of one point three percent. 22:24 I think just one thing to note around net revenues, and Jörgen pointed out as well, is that in Q3 twenty twenty, we had a fairly big deferral positive effect on the organic growth, and it's still negative on bookings by only by eight percent, and really the bookings that drive the business. 22:42 And we also see in this -- underlying this, and what is very important for our whole portfolio is that, we continue to diversify our revenue generation. We have the acquired growth, which brings both existing titles, but also new titles, but we also have higher revenues from games outside active portfolio, and that, of course, continues to derisk and diversify our revenue streams. 23:14 Ad revenues, as we have noted in the last quarter as well are now eighteen percent of net revenues. That also create this diversification, and that was two hundred and forty one million krona for the full quarter. So looking at, even if we grow with twenty eight percent, our platform fees are only up one percent by four million krona and this is really the dynamics that is important that we see now coming through during this year, is that our gross profit, so after platform fees, is up thirty seven percent. 23:47 And that is very important because that increases our profit -- our gross profit margin by six percentage points. And this increase and this increase of cash, we can obviously deploy and utilize in our user acquisition where we have increased by one hundred and fifty five million krona or twenty four percent of net revenues. And this is a very high stand for Q3. But Jörgen did elaborate more on the drivers of that. 24:23 Other expenses is up twenty percent -- twenty million krona or forty percent year-over-year and that cost increased by eighty four million krona or fifty six percent versus last year in the same period. Amortization and depreciation increased by thirty three million krona, this is in line with what we've seen in previous quarters as well and this is just more projects being amortized over time and in line with our product development. Adjusted EBIT increased by fourteen million krona or three percent to four thirty three million krona in the quarter. 25:05 We had some items affecting comparability, mainly driven by the transactional cost booked in the Jawaker acquisition of approximately eighty million krona, and we have a small IFRS-16 effect of two million krona. PPA items, as we've seen in the past quarters as well, naturally increased by the acquisitions that we've done in the last twelve months, so that is now one hundred and seventy million krona, so seventy five million krona increase versus last year and that gives us an EBIT for the quarter of two forty three million krona. 25:43 Financial items was fifty five million krona, and the underlying interest costs were forty one million krona, which is the cash cost for that and then we have seventeen million krona of non-cash interest that is booked on earn-out considerations. Just to note that it's lower versus Q2 this year and that's, of course, because we paid out a lot of earn-outs in Q2, so the interest components of that goes then down in the following quarter. And we had a small effect on FX number. 26:20 In terms of the tax rate, it was fifty eight million krona or thirty one percent, so similar as they've been in the previous quarter. But if you exclude the non-deductible transaction cost, the tax rate would have been approximately twenty eight percent for this quarter. 26:39 Then turning to the next slide, on slide fourteen, the cash flow. Briefly touched upon the cash flow for the quarter. As mentioned, we had a record level of cash flow from operation four hundred and eighty six million krona, which is the forty seven percent growth in just the fourth quarter. And we did pay taxes of sixty three million krona globally. And we had -- did have a positive effect of working capital whereas this was primarily driven by [indiscernible] settlements from one of our bigger platform providers in the quarter, not in all studios, but in majority of our studios. 27:19 And we did have one hundred and eighty one million krona on investments, majority of that was from product development, which is of one hundred and forty three million krona, in line with relating to revenues of ten point nine percent, and as in the previous quarters as well. And we did have paid a large cash for the game asset Crush Them All that we acquired in Q2. And then we had, of course, big -- small movements on the net effect on the financing activities. We did bring -- get in eight hundred and seventy seven million krona of capital raise, and the last tranche of that from one of our major shareholders only came in Q4, and then we did utilize some of that cash to pay back temporarily the credit facility or our bank. 28:20 So a very strong cash flow generation in the quarter, but I think that, especially, looking at the twelve months, as a normal, it's basically how this develops, is how you should view cash flow generation. I mean, last twelve months, we have generated over one point six billion krona of cash flow from operation, and that is -- this an increase of six hundred and seven million krona or sixty five percent versus the same period in Q3 twenty twenty. 28:54 We've continued to invest now -- we invested in the last twelve months five hundred and sixty eight million krona in new products, which we are now seeing -- start seeing doing a soft launch, and that is still increase in an absolute terms, but in terms of -- in the relation between the investments and the operative cash flow, there is a very healthy balance where the actual free cash flow, after that growth to nine hundred and ninety one million krona or eighty six percent comparing that to previous. And the cash flow -- the cash conversion also improves in this quarter in the last twelve months and we now have zero point five two versus our EBITDA. 29:46 So, strong underlying cash flow generation and the sum for the balance sheet, temporarily this has gone down. We expect that the -- would we have then completed the Jawaker acquisition, and would the last tranche from the equity raise has come in in the quarter, we would have been around our financial target of one point five. We continue to have a well-diversified maturity profile on our debt portfolio, which give us flexibility going forward. 30:16 Just as a summary, continued revenue diversification and growth and exceptional cash flows in the quarter from operations, and it's driven by a strong margin. And we continue to invest in our portfolio, and we have a diversified financing platform. 30:34 So with that summary, I will hand over to Jörgen.
Jörgen Larsson: 30:37 Thank you, Andreas. And I will conclude this presentation with slide sixteen and seventeen. So we start with sixteen. We decided to provide an indicative guidance for the fourth quarter, so basically driven by the fact that we see that there is still some -- has been some uncertainty about the sector, the IDFA effects and so on and the comparison things. So, we think it's a good idea to provide this guidance again. 31:16 So, the guidance that we provided that we have net revenues between one thousand three hundred and fifty million krona and one thousand five hundred million krona, with an adjusted EBIT of four hundred and twenty five million krona to four hundred and seventy five million krona, and that means that we foresee a growth Q4-over-Q4 between twenty five percent and thirty nine percent. 31:39 And if you take the mid-point, the full-year twenty twenty one net revenues will be just over five point four billion krona with an adjusted EBIT of just below one point eight billion krona, which is equal to approximately thirty three percent EBIT margin for the full year. 32:00 Turning to next slide and the final one, so I think that we can say that we continued to perform stable and well in the quarter with several studios showing strong organic growth. We have -- we are passing through a leading -- the two challenge that I had opened this presentation with, namely the pandemic comp numbers and the IDFA, they are definitely transitory and we are also leaving them completely behind us. 32:34 And we have, as mentioned, several exciting -- many exciting, I would even say, so fifteen products in soft launch or will commence their soft launch very soon during Q4, and we also have a good pipeline for soft launches in the first half of next year, which is approximately additional fifteen at this point in time. 32:57 So we are in a very good position to return to organic growth in the latter part of this quarter. It's hard to say exactly when, because it obviously depends also on the launches that we have and are conducting. 33:10 So with that, I would like to conclude the presentation and open up for questions. Please go ahead.
Operator: 33:20 [Operator Instructions] First question of the day we have from Marlon Varnik from Pareto Securities. Your line is unmuted. Please go ahead.
Marlon Varnik: 33:44 Hi, good morning, Jörgen and Andreas. Thank you for taking my question. So first just a question on the Super Free games. It continues to underperform with less spent on user acquisition than expected during the past eight months. Can you give some more flavor here of your expectations in the past, but also going forward when we can expect it to return to growth? And then if you also can quantify the effect you had on the UA spend here in Q3?
Jörgen Larsson: 34:17 I think it's absolutely key to put this into perspective, we have the experience that we have been around doing this for quite some time that it's far too early to judge any long term development only from less than a year. So, if we look at Bytro Labs, if we look at Babil Games, if we look at Candywriter, for instance, all of them were performing not so good or even in some cases, significantly lower than our expectations, but then came into tremendous growth. So it's not a sign that they are broken in kind of fundamental way. This is just when you come into the early first months, you have a plan and you have product on its way out, and then of course, it becomes very clear whether these products -- whether you gain traction in marketing. And it's several factors coming into the UA spend. 35:18 So -- but are we concerned about this in the mid to long-term? No, we are not. We know that they have been showing capabilities of coming back to growth again and they have an engine that is very competitive and the portfolio of existing, but also the new product in the future, and they have been improving doubling their revenues in six months, at least two or even three occasion previously. So we think that there is -- we expect that this is -- we see it stabilizing and we expect that we will be able to return to growth again with Super Free. 36:00 Then it's very hard to say whether that will be in January or February or something else because that is how this works because we are very, very disciplined when we allocate our UA. We only allocate if they meet our very high expectations on return on marketing spend and we do not compromise. So we're not throwing our best money after lower return, instead we put them at the other studios with higher return, and we don't present the absolute spend per studio or game. So that is what I could say. 36:37 But obviously, it's a significant top line effect for the reasons that I elaborated on that these games are moving much faster than other games, but in both directions. We can see that BitLife is increasing with high pace.
Marlon Varnik: 36:56 And I assume that also, I mean, the ad bookings are slightly down compared to Q2 to [indiscernible] to thirty five percent, I assume is related to Super Free as well.
Jörgen Larsson: 37:08 Yes. So that is a part of that definitely so. But we are -- we are still on the high-teens that we have discussed, but you're right in that comment.
Marlon Varnik: 37:20 But will it then be fair to assume that the Super Free performance in Q3 is more below your expectation than it was in Q2?
Jörgen Larsson: 37:31 Yes, that's a fair assumption.
Marlon Varnik: 37:35 Thank you. And I think also need a comment on the Kixeye earn-out dispute. I mean, it seems to be timing wise well triggered. And I understand that it's filed by the sellers and not by anyone exiting Kixeye today, is this correct?
Jörgen Larsson: 37:52 That is correct, and it's -- it was a unique transaction in the way that with -- the founders did not follow, so I think that is important to note in this context. But also, I mean, we are -- I mean, I founded this business eleven years ago. If you conduct business on a global scale and grow businesses, acquire businesses, these things happens when you run businesses. So it's not something that is very neither scaring or strange. We are confident in our position. We see no factual nor legal basis for the claims or the lawsuits. We have in dialog with our external auditors see no reason to do any provisions in our balance sheet. So we think we are in a good spot. But we follow the protocol for handling processes like this, which is not in public.
Marlon Varnik: 38:56 And guessing about the timeline here, if you could help us, when do you expect the final statements on this?
Jörgen Larsson: 39:04 In relation to this, you mean?
Marlon Varnik: 39:07 Yes. The --
Jörgen Larsson: 39:08 I mean, this process could take -- they could continue for years. So -- but again it's also important to note that this is not a material number. So, even if we -- which we cannot foresee, we'll not have a success at all. This was not -- will not be a material number for the group. So that is also important to point to.
Marlon Varnik: 39:37 And just finally here on the organic growth that you expected to return to organic growth towards the end of Q4. You had pretty good comps already in the beginning and mid of the quarter as well. Can you give any year-over-year comment here, and also the growth drivers towards the end of Q4, what else you can say here? Thank you.
Jörgen Larsson: 39:59 I mean it's -- it becomes somewhat strange KPI because for each quarter now, there are entering new studios into being organic. For instance, Nanobit has come in being organic, which it wasn't -- it was not organic, so to speak in Q2. So this will constantly be difficult to compare because the number of studios that are organic or which studios are organic changes for every quarter in the past. But basically, the reason why we don't want to say that from the twenty fifth of November, we are organic positively is the very reason that our philosophy is to zoom the products that returns -- that yields the best. We don't care to be honest, whether it's a studio that's been with us for eleven months or thirteen months. We put the dollar where it needs the best and that is why we will never say that just for the sake of it, let's try to keep up the organic growth and put money where it needs -- not as good as it would otherwise. 41:17 If we would have kept that philosophy -- would have had that philosophy instead of the one that we have, this company would have been much smaller and not being able to consistently perform with the kind of margins that we have done for many years now.
Marlon Varnik: 41:35 Thank you. That was all from me. Thank you, Jörgen.
Operator: 41:42 Next, we have Oscar Erixon from Carnegie.
Oscar Erixon: 41:48 Thank you, and good morning, Jörgen and Andreas. A couple of questions from me. First of all, regarding your guidance here for Q4, and your comments as well and report, is it fair to say that you're now seeing an inflection point of sorts in October and November and that seasonally adjusted CPMs are coming down and UA efficacy, and hence also better momentum for in a purchases based games and UA? Thanks.
Jörgen Larsson: 42:29 Yes. So we have seen gradual improvement in the performance of our marketing actually since July and onwards. But -- and it's not -- you cannot only focus on the CPIs or cost per install, it's the relationship between LTV and CPI. So in some cases, the CPIs are going down, in some cases to CPIs are stable, but we have much higher LTV, so the whole thing, the whole trick of the trade is to be able to market with a good relationship between the average lifetime value for a cohort in relation to the average CPI for a cohort and that is improving. So we see increased yields on marketing or return on marketing spend gradually and not the least now into Q4, and even November seem stronger than October. So it's going in the right direction. 43:35 One related question is, how it will look usually from seventh -- after the first week of December, up until the holidays, or the twenty sixth of December? It's usually more competitive for UA, but this year we have seen some sign that traditional retail that usually -- or online retail that usually are marketing heavily during this period have stated publicly that they potentially are not marketing as much as they usually do. And if that is the case that is positive for us. But that is something that we haven't -- the basis for our guidance and our forecast are not that that happens. But it's a potential different pattern than usually. 44:23 Otherwise, this part of the year as well as from the twenty sixth of December and throughout Q1 are usually the best for marketing in general terms and I'm very optimistic that our way -- both our products, but also our channels, and I'm really pleased to see that we have been able to leverage the fact that we have such a wide diversification and wide array of marketing channels that works for us, that is one of the key competitive advantages, which I expect that we will leverage even more as we grow our portfolio.
Oscar Erixon: 45:07 Great. And you partly answered my follow-up there regarding supply chain issues and potentially competition for marketing from other sectors. But we see now -- I mean, almost mid-November, are you seeing those signs now or reduced spending from traditional retail ahead of Black Friday, for example?
Jörgen Larsson: 45:32 I think it's -- the number of data points is not enough to make such a statement, but I think -- sorry, I can just conclude what you stated and what I stated that we, of course, follow the market closely, but I wouldn't draw too drastic conclusions of two data points.
Oscar Erixon: 45:55 Understood. And then the Q4 guidance, unusually wide in terms of the revenue guidance. Does this reflect the back-end loaded expected marketing spending and the game launches or how should one view that?
Jörgen Larsson: 46:13 Yes, we -- that is hardly a usual guidance range for us because it's only the second time. But, yes, you're correct, it's larger than it were -- it was in Q3. So we're just over ten percent in the range of what that is, but it's just what you indicated that, I think with fifteen products in the scale-up phase, or in the soft launch phase, some of them and some still to come and we launch product going into soft launches at least each and every day now. 46:51 So it's of course not very easy to say what traction we gain up until the -- I mean, New Year's Eve. I mean, at least that's not how you operate as well, obviously the outcome for such a short period is not very easy to say. But we -- the longer perspective, we think we have a high quality of exciting products coming out that we are from the wins will contribute significantly next year. But how much comes in in Q4, and how much comes in in Q1 and onwards is a bit tricky.
Oscar Erixon: 47:31 Understood. And then I think you have quite a positive tone on IDFA issues being behind you now, which I'm glad to hear, of course. Do you see any risk for further changes from Apple or Google impacting marketing efficiency ahead? Or is this now sort of how bad it will ever get in your view? And then I can add-on questions about all -- that Apple will not be allowed to delay we then absorbed payment changes seemingly. Do you still expect to be able to link to external payment providers on IOS here from December? Thank you.
Jörgen Larsson: 48:12 Yes. So we don't really use the phrase of how bad that it can be, because this is the new normal, and it has been an absolutely normal component in our business for eleven years that some -- there are always changes in market channels. This one is, of course, larger than others because it comes from a platform owner, so that's right from -- in a much wider way than other changes in channels, but it will always be changes, and it's all about adopting. 48:51 So actually I think that -- but that's a longer discussion, but I think that this -- this change and other changes actually strengthen publishers and content owners because we -- as we acquire less refined traffic from intermediaries like Facebook and others, we do more of a refinement on our side of the fence successfully, which means that we have a larger portion of the total value chain over time, even though it's cumbersome with an individual change and it has been a challenge, but it has played out nicely. 49:27 So I don't see the IDFA change per se being a significant topic for us going forward. It will still be some changes in channels, but one way of handling this by the way was that we in a just a week or so, changed the majority of our Facebook spending, when they had their challenges over to TikTok, to IronSource, [indiscernible] channels that didn't exist three years ago so that shows that we -- this is business as usual basically. We're handling changes, it changes our confidence, obviously, IFDA being larger one, but -- so we are -- we feel comfortable in our marketing work in general terms. 50:18 Then on the App Store, the changes with App Store fees and so on, of course, it's beneficial for us that the ruling was also -- and ask for getting more time that Apple for within was this -- just the last twelve hours, I think. So from December ninth, then we -- it opens up for other shop solutions. So obviously that is an opportunity for us. 50:51 Then, to what extent that really happens, because you never know until it really is implemented. But we are ready to take advantage from that. We have shop solutions that are ready. But it will not be an overnight complete shift, but it's obviously something that is good for us. And I also think that there is increased pressure all the time on the actual thirty percent store fees that will continue as we go forward.
Oscar Erixon: 51:23 Excellent. And then just one final question from me. Sorry for asking so many. But regarding Super Free, you mentioned the games not perhaps being sort of ready in terms of marketing efficiency to scale and to grow. Is this related to the marketing mix perhaps Facebook, game development or something else? And do you expect Q4 improvement, first half of twenty twenty two, second half, how to think about it, please? Thank you.
Jörgen Larsson: 51:57 It's a mix of these factors that you mentioned that is behind us. But as I elaborated on, I see no reason to not believe in the mid to long-term opportunities and I think that we are on track on gaining growth again. But it's not the way that we operate, let's say. Whatever -- at whatever costs we should get Super Free grow, they have to qualify to be returning their ad spend within the limits that we put on them, and put on all products. So it's only by delivering solid results that they will be back. 52:43 But I'm -- again, it's a far too short time to draw conclusions, like this is an issue over a longer time. As I mentioned, Babil, Bytro Labs, Candywriter, three very important studios for us and big studios, all of them were underperforming for us a while and then all of a sudden you gain traction and then it gains significantly again. So that is how we view it.
Oscar Erixon: 53:17 Perfect. Thank you very much, Jörgen. That's it for me.
Operator: 53:23 Next is Edward James from Berenberg Bank. Your line is unmuted. Please go ahead.
Edward James: 53:30Thank you for taking my questions. Just a couple from me. Would it be possible to just break down the Q4 guidance just in terms of; A, the seasonal uplift that you traditionally see Q3 to Q4, and the contribution from Jawaker acquisition and then what sort of baked in, in terms of the improving UA backdrop? 54:00 And then secondly, I've noticed just on the sort of sense how that data that downloads for pretty much your entire games portfolio has significantly accelerated in late October and November, obviously, help us on the game launches. But there seems to be sort a significant acceleration in downloads across multiple games. Is that indicative of the better user acquisition backdrop? And secondly, does that give you more confidence in putting your game pipeline into soft launch and releasing those games in the back end of Q4 and into twenty twenty two? Thank you.
Jörgen Larsson: 54:41 Yes, so first of all, we just tell you and others a lot of time, we don't give forecasts for each and every game, so -- and also this is not because just to play some games. It's just because we do. It's about that we are rapidly, which is again is a key thing to understand our company, we are very disciplined and we're very, very, very agile in reallocating capital to wherever -- whatever product, in whatever studio returns the best. Concurrently, as we speak now, I expect that we run maybe one thousand two hundred campaigns in parallel, but it is ultimately and we will do that tomorrow, again, but maybe one hundred of them has been changed because they are not performing. 55:29 So it's a very sophisticated marketing philosophy that we have implemented, and worked hard to get in place for quite some time, which means that it's not the way that we make this guidance betting on that product A or C or G will be the ones performing. 55:53 Then of course, having said that, we have high expectations for some products, and as you clearly and rightly commented, and if you look at the sources for download, so that could be a good indicator, not necessarily one hundred percent secure source for how these products will develop, but of course, we are encouraged with seeing new products and the download numbers. It's different for worthwhile mentioning that it's different for existing products, because existing more mature products is more oftenly grown by improved and more efficient live-ups such as new content and events and such, but for new games coming into soft launch, the initial thing and the initial indicator that is important is, of course, number of downloads. 56:59 So we are pleased with what we're seeing and we will come back to report on acquisition of Jawaker, of course, we will come back to Jawaker's development, they have been consolidated for a very short time so far, but we have high hopes on that acquisition and the quality of theme, the quality of the product is really something that stands out the way that they have their visitors on new products. So we have high hopes for not only Q4, but for the long run with Jawaker.
Edward James: 57:35 Great, thank you. It's very clear. And just a final one for me. Would it be possible just to provide comments on the FY twenty twenty three targets. We haven't sort of discussed on those for a while, I guess, for obvious reasons. And if not now, will that be a subject at the CMD later this month?
Jörgen Larsson: 57:55 We -- as stated in the report, we remain committed to these targets, which means that we will not update them in a week's time, obviously, then that wording would have been a bit strange. So we believe that we have -- the way that we have developed our business, we have a much more robust business in things that you don't see, I mean, how we operate, how we optimize our portfolio, how we can get collaborations go in between the different studios and create synergies, not the least in how we take new products to the market. I mean, we have more than tripled the number of products going into soft launch and they are much more complex and refined products than ever we've had without increasing -- actually slightly decreasing the product development -- investments in product development in relation to net revenues, it was down as Andreas pointed out to ten point nine percent. So I think that we are in a good spot to gain traction from these. 59:03 Then, of course, when it comes to the acquisitions, which is part of reaching the financial targets in twenty twenty three, we just concluded this quarter an important and a high quality acquisition, but, of course, we need to factor in our share price, we need to factor in the multiples on private health company versus public health companies. I mean, the market has changed. That will be adjusted and also, I think that we need to also tactically, as always, factor in how we finance acquisitions. That is what we always have to do. 59:46 And if you believe that we will be traded on multiples on this level for two point five years, private company will not drop in multiples, then of course, it will be harder and more challenging to conduct M&A, but we don't expect that and hence we keep our financial targets. 60:07 Do you want to add something, Andreas, on the financing part?
Andreas Uddman: 60:11 No, I think it's true. I mean, we did just raise equity in Q3. So I think -- I mean -- and we always work tactically with it. I think that's how we work. We have a broad financing portfolio with different types of financial instruments, and we have readiness to be able to execute. Of course, it's a tactical thing to fit and grow our strategy.
Edward James: 60:41 Great. Thank you.
Operator: 60:45 Next we have Nick Dempsey from Barclays. Your line is unmuted.
Nick Dempsey: 60:51 Yes, good morning, guys. I've got two left. So just coming back to Super Free, is one reason why you've not deployed as much UAC because you're worried about the efficiency of that? Is it just because Word and Trivia add some more competitive? There is a bunch of them around we can all see them. Is it a more competitive segment, and therefore, will be forever, and that will always make it a little bit more challenging to efficiently deploy UAC? 61:21 And the second question, we're hearing from a bunch of different companies that there is notable wage inflation in the US, in particular, in what kinds of tech sectors? Particularly anything to do with data? So is wage inflation something you expect to be a factor for margin as we move into twenty twenty two, given the fifty two percent of your staff are in the US?
Jörgen Larsson: 61:47 Yes. So the first topic we think that -- I mean, that was why we acquired Super Free that they are very competitive and have an engine and a capability of building, operating and developing products in these categories, which were white spots for us prior to this acquisition. We have not changed that in seven months. 62:15 Again, just as little in the previous deals that we mentioned, and just recently with Candywriter, we believe in the kinds of products, which led up to us acquiring them. We have kept that belief even though the first two quarters were not that strong for them. Now, we see that all of the sudden BitLife is number two in our complete portfolio, they're growing with very strong numbers and they have their sister products on its way out. So it's not -- it's not that we all of a sudden see a completely different competitive situation in just a few months. They are strong. They have earned a position over long time. It's just that in short time you get less traction. 63:04 And with the model we have with this very dynamic allocation of UA, we amplify the already faster and larger changing category of Casual games that with our approach of allocating UA that will be amplified in both directions. Because we -- with few -- with more UA when we have the traction and -- or when they meet the requirements and when they're not meeting, we're not allocating. So, no change in the belief that what we say to report as well as that we believe the category will be there forever. It's greenfield and we don't expect that it's not that easy to be -- to master this category starting from scratch or is not a lot of new entrants in that way either.
Andreas Uddman: 63:59 And in terms of the salary inflation, of course, we also notice, but it's important to note that we have two studios in the Bay Area, and that's where inflation is happening. We have -- then we have other locations in the US. But the majority of -- the US workforce is actually less than the rest of the world. We have a lot of other locations globally from India to Eastern Europe to Germany et cetera. And then, of course, there is earn-outs et cetera that is structured for some of these to tackle that as well. 64:37 But I think, yes, of course, we're keeping an eye on it, but we have also a diverse set of being able to employ people globally, which is also seeing that studios have been coming in, all of a sudden, they have a sister company that can employee somebody in a different jurisdiction.
Nick Dempsey: 64:53 Okay. That's helpful. Thanks.
Operator: 64:59 Next we have [indiscernible] from Redeye. Your line is unmuted.
Unidentified Analyst: Thank you. A few questions from me. First let's start with new genre, looks like UA and net revenue was a bit higher, is Q3 normal? Is this IDFA related or have you invested more than you see -- because you see potential growth in some games or some new launch?
Jörgen Larsson: 65:24 Sorry. I didn't get that. It's breaking up a bit. In which area, sorry?
Unidentified Analyst: 65:29 Just asked Jörgen, let's say, you seem to have a little bit higher UAC spend in relation to revenue than historically in Q3? Is this IDFA related? I mean, low returns, or do you see that some gain that is worth investing and that will grow, I mean, in the coming quarters?
Jörgen Larsson: 65:46 I mean we -- as we pointed out, we have had good growth with Conflict of Nations, so and also -- and that is important to note that the IDFA thing were supposed to be completely above targeting traffic, which usually have in -- have had in Strategy. So I'm pleased that we are -- we have been able to develop strategy in a good way towards IDFA as well because that means that to buy this less refined traffic and then build the models of large size, which we do to analyze user behavior and to make conclusions on which users are high spenders and mid-spenders and low spenders is working quite nicely. But then strategy -- so it's different layers in this. We have some products that has very good traction. 66:43 But on the other hand, usually strategy is slower in Q3 than other segments because playing these games is more time consuming compared to playing a casual game and hence when you are on vacation with your family, it's less likely that you take on playing a strategy game compared to playing a casual game that you can do easily on the beach or whatever you do on your vacation. So it's different layers on this. But again, Conflict of Nations we have been able to grow throughout the last year, but also both Bytro Labs games, Supremacy have continued to perform solidly and I'm pleased to see that in the for strategy games challenging Q3, we have been able to spend relatively on good levels.
Unidentified Analyst: 67:40 Got it. And interestingly, Storm8 seems to be stabilizing after tougher comps last year. Is there any specific mix or games in the portfolio performing similar, or only especially in markets that that is doing better?
Jörgen Larsson: 67:59 I think that -- I mean they have two main products, they are both quite stable. Then of course, it could vary from one month to another between these games, but they are solid contributors both Property Brother Home Design Makeover. So that is very pleasing to see. Further, we are excited about to see the new Storm8 product coming out, quite -- in a quite short time, hopefully at around the year-end. So that is -- that will be exciting for us and hopefully that will be a growth contributor for Storm8.
Unidentified Analyst: 68:42 Got it. And the game pipeline seems to be more bigger than normal looking into twenty twenty two. What kind of risk do you see this game will perform? I know that you say you only invest where it works. But if you comment on the same on the risk in the game pipeline, is it the new genres, new type of games that or iterations of existing games?
Jörgen Larsson: 69:06 So that's a good question. But we -- first of all, we have been improving our performance in terms of what we call engine shares, where you basically take an engine from one game, not necessarily only in your own, but we are collaborating between studios, so that we have more product built on already proven engine. And this is a very, very important and significant synergy that we have been significantly better in achieving, because obviously, taking a proven game, the engine that runs a proven game, if you take that and put it into a new setting or a new setting, you both gain time-to-market, you increase the probability that it will be a success and that the investment obviously is much lower needed to take a sophisticated game. And the sophistication of the game is also higher because again that has been proven, already has been updated on a weekly, or bi-weekly basis for in many cases, several years. So, we get the more advanced products with less investments, shorter time to market, so this is definitely one of the major achievements that we have seen coming out of the Stillops platform, then our business synergy, and organic growth platform, the last couple of years. 70:43 So, I think that we will see next year, even more engine shares but, of course, we also allocate capital to more innovative products in the sense that it's not part of what we -- I mean engine shares you could argue that we're not innovating to the same extent, but innovation could also be where expense of experiment. So, we are talking lot about a controlled and incremental approach to being innovative as well. So, we have processes in place to figure out where we would like to experiment and make completely different games. 71:31 But yes, so I think we are improving the pipeline quality in that way as well and that is what you -- I mean this we started several years ago, so I think that what we see now is a direct effect of our improved the Stillops business platform that we have basically.
Unidentified Analyst: 71:53 Got it. And maybe lastly on the M&A market. I mean, you mentioned it a bit. But is there anything about your M&A pipeline? Is it growing? And the early discussions on price or anything else in the target?
Jörgen Larsson: 72:08 I mean, we -- there are three to four hundred companies that will be consolidated in the market by the consolidators, which is say, twenty to thirty companies, us being one of them. That will happen the next coming three, four, five years. So, I expect the pace -- you can see already, I would say, that the pace has slowed down a bit, because due to the multiple development on the public listed company, but that will even out. I think public listed company will bounce back and I think private held companies will go down in expectations and then you have the necessary arbitrage between public and private held companies. That is one thing. 72:57 And secondly, I think that when that happens, the pace will slowly go up again. And as Andreas elaborated on, we think that in take away, being tactical always very important to us. So financing there is an appetite to invest in growth companies like in gaming, you even know that sentiment, obviously, have been weaker for six or so months. But I think also then IDFA, and the question marks around the whole thing with IDFA is coming -- and the comp things -- the things that we mentioned that challenges, I mean, that is not only for us, it's more for the market, in general. And that is now coming to be history. I think that would be good for the general sentiment around this game companies.
Unidentified Analyst: 73:56 Great, thank you very much.
Operator: 74:01 Next we have Martin Arnell from DNB Markets. Your line is unmuted.
Martin Arnell: 74:08 Hi, Jörgen and Andreas. Just on the comments you made on Storm8, did you confirm that you see improvement year-on-year so far in Q4?
Jörgen Larsson: 74:23 Well, I didn't make that statement. So, but we -- what we have seen is we acquired Storm8 in the beginning of twenty twenty, a tremendous time, we were just lucky, I mean, pandemic is of luck that this came in hand, therefore, that growth. So, they grew by incredible sixty five percent-ish in just a few weeks with tremendous return on marketing. 74:56 And of course, these users typically have their LTV ninety percent or ninety percent, ninety five percent of on their LTV, lifetime value is within one eighty days. So obviously, the massive amount of users that we took in has churned out now. So we have been able to stabilize the business. So, but of course, it's a drop if you compare to the massive growth that we had, but that is the whole thing. And I think that it's good for visualizing to say that if we take away Storm8 Q3-on-Q3, we would have been organic the whole group. 75:36 So that shows that it bounces back after very natural effect of the market intake, but it's a very healthy and solid business. So it's not -- we have no expectations whatsoever that they should continue to -- that they would have continued to decline. It's just an effect that they took in so many users last year and the revenues were sixty five percent up in the weeks. So we are very comfortable with the team, with their existing games, and not the least, excited about their new game coming out very shortly.
Martin Arnell: 76:15 Perfect, thanks for that color. Sorry, Andreas, what -- you wanted to add something?
Andreas Uddman: 76:23 Yes, I mentioned, we can simplify it, they overachieved our expectations last year and as expectations this year.
Martin Arnell: 76:31 Okay. Yeah. Okay, thanks. And just on the marketing spending, now, you've had some time to analyze the actual impact of IDFA, and just curious to hear your -- the key learnings and surprises so far. And also I think a few months ago we talked about the Facebook situation and we were discussing sort of the potential that they would change it back and make it easier for you again. And how has that progressed?
Jörgen Larsson: 77:04 Well, as mentioned several times, we have seen -- we and others, I should say, have seen a gradual improvement, and very much played out the way that we have expected. So, we leverage -- sorry, we leverage the fact that we did and building these kind of models that I mentioned one year prior to that change happened. So we benefited from that and we benefited significantly from the fact that we have for years been building and trying to be market leaders in how many different channels and how diversified channel we are -- mix of channels we're using for marketing, that definitely played out as expected in a very good way for us. 77:52 I mean, we changed the majority of Facebook volume in just a week so to other channels. We've kept with unchanged high profitability, and I would bet you that that is not many that would achieve the profitability and increasing the stand. So that played out as we hoped. The big surprise, of course, was that Facebook in the first, at the start, we got these -- encountered these challenges in the algorithm as widely as they did. I mean, that was a surprise for us, for our peers and not the least, for Facebook themselves. 78:33 So, that was the big unknown that came in. But we, as I said, through the fact that we have a lot of different channels, we managed that in a very good way. So our teams, our marketers and analysts made a great job in handling that. So, I think that it is. But again we have experienced significant changes in marketing channels several times before, and we will do in the future, even though, it's not as big in this one, I'm sure that I know that this is part of our business. So, we are not very scared or whatever word we should use for changes in marketing channels. That's why we have built this by the spectrum of channels that we master in many different verticals as well.
Martin Arnell: 79:25 And for the moment, do you see it has stabilized when it comes to sort of switching channels or are you weighing back to Facebook or how should we look at it right now?
Jörgen Larsson: 79:39 Yes, Facebook has increased compared to when we moved everything away more or less when it didn't work at all this summer. So, but for two reasons, we don't go out with the split. It's for commercial reasons, we don't communicate how we allocate over different channels, for strictly commercial reasons. We would love to have those from our peers, if you -- if you have them, please send them. 80:06 But the second reason is that it changes very rapidly. So, literally from one day to another, we are changing on channel level, but also the combination of channel, product and territory, are changing in extremely rapidly. So, it will be very hard to try to communicate that in an efficient way basically.
Martin Arnell: 80:36 Excellent. Thank you, Jörgen. And just my final one on the cash flow, you have positive changes in working capital boosting it again here. What do you think, Andreas, going forward and how should we view the working capital impact?
Andreas Uddman: 80:52 Yes, I mean, over a twelve month period, depending on where you have the period, it's sort of -- it grows, the working capital impact grows with more how the top line grows. But Q3, it has been this year and last year the strongest sort of operating cash flow due to the working capital and that's because one of our biggest platform providers, they run their own calendars when they pay. So they pay two times in Q1, three times in Q2 and then for some, but not all, four times in Q3, and then eight times in Q4. They have a slightly different calendar --
Jörgen Larsson: 81:42 Than the rest of the world.
Andreas Uddman: 81:42 Than the rest of the world, so that's how it works.
Martin Arnell: 81:48 Perfect. Thank you for clarifying. Thanks. That's all for me.
Operator: 81:55 There are no further questions at this time. So I would like to now hand over the floor back to the speakers for their final remarks. Over to you, speakers.
Jörgen Larsson: 82:04 Thank you very much and thank you for dialing in all of you this morning and providing us with some good questions. So thank you for today, and I wish you a great day. Thank you.
Operator: 82:21 Thank you so much, everyone. You may all disconnect now. Thank you and have a pleasant day.